Operator: Hello, and welcome to the Edenred Half Year 2025 Call. Please note, this call is being recorded. [Operator Instructions] I will now hand you over to your host, Bertrand Dumazy, CEO; and Virginie Duperat-Vergne, CFO, to begin today's conference. Thank you.
Bertrand Dumazy: Ladies and gentlemen, good morning. Thank you for being with us for the H1 2025 results of Edenred. I am with our new CFO, Virginie, who joined Edenred 2 months ago. And we are together for the next 75 minutes, a presentation of about 35 minutes, and then a Q&A session of 40 minutes. I propose that we move to Page 2 of the presentation, and there are 4 messages that I want to convey today. First of all, we confirm all our targets for full year 2025 despite economic uncertainties. Target number one, a minimum of 10% like-for-like EBITDA growth for 2025. Target number two, 70% free cash flow on EBITDA conversion rate. The 10% like-for-like EBITDA growth due to the situation in Italy is an equivalent of 15% EBITDA like-for-like growth. Why are we able to confirm all our targets for 3 reasons: first of all, in H1 2025, we delivered a steady top line growth, thanks to double-digit growth in Mobility, Benefits & Engagement growth acceleration in Q2 versus Q1, a double-digit growth, both in Latin America and Rest of the World, an acceleration in Europe of the growth in Q2 versus Q1 and the planned progressive exit of our BaaS B2C business. Thanks to the steady top line growth and thanks to the operating leverage and management actions, we are able to fuel a double-digit EBITDA like-for-like growth the operating EBITDA up 18.4% in H1 2025. Then my fourth message is, yes, Edenred pursued the rollout of our Beyond strategy. We continue to grow our client base. We leverage our digital platform, and we will give you 2 examples in Germany and in Taiwan. We expand our Beyond solutions. For example, the proportion of Fuel Beyond has increased from 30% to 32% in Mobility in H1 2025. And finally, as previously said, we have a natural operating leverage due to our platform model that we coupled with some management actions to develop our Fit for Growth efficiency program and our performance improvement plan. So those are the 4 messages that I want to share with you today. I propose that we move to the key figures of 2025 and the business highlights. So Page 5. As you can see, our operating revenue has grown by 7.1% in H1 2025. Our EBITDA like-for-like growth is 14.4% and we beat the consensus by EUR 19 million, even with adverse ForEx effects. Our funds from operation has increased by 17% in H1 2025 versus 2024. And finally, our adjusted EPS has increased by 7.4% in H1 2025 at EUR 1.16. Now if we go into more details about the Edenred growth equation, Page 7, in terms of operating revenue, what you see is the like-for-like growth of operating revenue in Q2 is at 7.1%, which is the level we had in Q1 2025. And behind this 7.1%, there are some encouraging signs as to the future performance of Edenred. Indeed, on Page 8, if we look at the breakdown of this growth per business line, and I start with Mobility, which represent 26% of our operating revenue what you see is quarter after quarter double-digit growth, and we reached 10.9% in H1 2025. Then if we move to Benefits & Engagement, representing 65% of our total -- of our operating revenue, what you see is a growth for H1 of 8.1% and, in fact, we have the beginning of an acceleration in Q2 2025 because in Q1, we had 7.6%. And in Q2, we are at 8.7% of like-for-like growth of our operating revenue. Then the third business line, Complementary Solutions, representing 9% of our group operating revenue, we post a negative growth of 7.6% in H1 2025 and it's due to 2 main elements: the first one is the planned BaaS, so Banking-as-a-Service B2C exit that we programmed for 2025 and we will proceed until the end of the year. And there is a second element. As you may know, in H1 2024, we had a large public social program in Romania, and this program has not yet been reconducted in 2025. Now if I move to Page 9 and to look at the breakdown of the growth per geographical area. First of all, Latin America, double-digit growth, plus 15.1%. Latin America representing 29% of our total operating revenue saw strong double-digit growth for the H1 and quarter after quarter in Latin America. The Rest of the World, we have a growth of 16.6% like-for-like and, once again, double-digit growth quarter after quarter. In Europe, yes, the growth is soft. With 1.7% growth like-for-like, but one of the encouraging sign is a Q2 growth that is at 2.2% versus 1.2% in Q1. Now I propose that we continue our journey in the growth equation of Edenred, Page 10. So thanks to the steady and encouraging operating revenue like-for-like growth and thanks to platform operating leverage and management actions, the combination of both leads to an operating EBITDA like-for-like growth of 18.4%. And in fact, you see our operating EBITDA margin growing by 330 basis points from 37.2% to 40.5%. Same pattern for the EBITDA, the EBITDA like-for-like growth is at 14.4% in H1 2025, leading to an increased EBITDA margin by 230 basis points, moving from 42.8% to 45.1% of EBITDA margin. Now I propose that we move to some of the business highlights of Edenred in H1 2025. It's going to be an illustration per business line and a good illustration of how powerful and full of growth potential is the Edenred platform. If we move to Page 12, and we start with Benefits & Engagement, and we took the example of Germany. How do we enhance our offer in a vastly underpenetrated market in Germany? We have a product that is called Edenred City. It's a simple and flexible benefit-in-kind solution. We have 2 million users in Germany. We bring EUR 600 of additional purchasing power. We have 300,000 local acceptance points. And in fact, the market penetration is only 20%, so there's still a lot to do in Germany in terms of penetration, especially in a country where everybody is looking after purchasing power. What is new? Our job is to innovate. And in fact, we revamped our digital offer, and it creates a lot of benefits for the clients i.e., the HR, but also for the users. For the HR, thanks to the revamped digital offer, we have been able to reduce by 75% the onboarding time. And as you know, the faster you onboard, the higher the monetization is. As to the users, we have been able to extend to online shopping the offer of what we call Edenred City, and we have been able to multiply by 2 the user monetization. I remind everybody that we have 60 million users around the world. So the name of the game for us is a combination of market penetration because on every product line, we are operating everywhere around the world on vastly underpenetrated market. And secondly, the name of the game is the user monetization, the client monetization and the merchant monetization. Here, you have an example of user monetization. I propose that we move to Page 13 for the second example in our second business line, which is Mobility. And you remember, during our last presentation, we said that we were not happy about the performance of Edenred Finance. We lost one of our big clients in Romania. And so for us, it's the beginning of the [ remontada ]. So what are we talking about? Edenred Finance, we are the #2 tax refund services provider in Europe. We operate in 28 countries. Since the acquisition of this activity, we have been able to multiply the revenue by 2 between 2019 and 2025. And one of the thing is by doing this acquisition was to develop some efficiency gain, and we did it because the efficiency has increased by 50%. Then what's new? Once again, our job is to penetrate more and to develop the business. And in fact, we are pleased to share with you that we are back in June in positive territory. The growth of Edenred Finance was plus 14% like-for-like operating revenue growth in June 2025 versus June 2024. And in fact, we are regaining strong commercial traction. If we look at the pipe, we have a good pipe of new customers and large logistic companies in the pipeline that are seduced by the quality and the efficiency of our offer. So it's a second example of when there is a will, there is a way. We have very good services, underpenetrated market. And when we underperform, we go back to work harder and differently to go back to double-digit growth. The third example is in -- so it's Page 14 on our third business line, which is Complementary Solutions. And here, we are talking of Ticket Xpress, which is a digital gift voucher or another way to say it in our industry, it's what we call e-gifting. So yes, in Taiwan, we are a leader of the market. We have a simple and flexible vouchers solution for incentive and reward. We redeem per month 3.5 million vouchers. We have been able to multiply almost by 5 over the last 3 years, the number of registered users, and we have a market share of 30%, which is an increase of 7 points over the last 3 years. So first thing, at Edenred, in business, we are in business to be #1. And so we work hard to make sure that we gain the leadership of the market. To be able to do that, we need to invest and innovate. So what is new on this offer is the ability to be distributed by external digital partners. Here, you have an example. It's what is called Metro Taipei. So in fact, the Ticket Xpress digital solution has been embedded in the Metro Taipei application to manage the Taipei MRT, which is the mass rapid transport. So it's transit. So it's the public transportation loyalty program. So we have now 2 million daily riders that are connected to Edenred, and we give them access to some brands and the network of Edenred. So this example is another example of the future of Edenred, i.e., first of all, in any business to be a leader of that business; second thing, bringing additional services on our platform to leverage the platform; and thirdly, accept the idea to be distributed by some other digital platforms that are going to leverage the services of Edenred. This is now the case of the MRT in Taipei for 2 million riders. It's now time for you to listen to Virginie, who are going to give us some details as to the H1 2025 financial performance. Virginie, welcome on board. May the force be with you.
Virginie J. H. Duperat-Vergne: Thank you so much, Bertrand. Good morning, ladies and gentlemen, and I'm very pleased to be virtually meeting you today, and I'm going to report on our H1 2025 financials. So moving to the first slide we have, which is probably Slide 16 in your pack. We delivered H1 2025 operating revenue of EUR 1.339 billion, growing 7.1% like-for-like compared to H1 2024. The foreign exchange impact on our H1 operating revenue was a negative 5.4% on the semester, while the scope effect was a positive of plus 3.6%, reflecting the contributions of the recently acquired activities, mainly Spirii, a European EV charging business based in Denmark, but also the IP fuel card activity in Italy and also RB, a transport voucher B&E activity in Brazil. All in all, this resulted in an as published growth of 5.3% for our operating revenue on the semester. Other revenues were EUR 112 million for the first half year, declining slightly minus 0.6% like-for-like year-on-year. The FX effect was a negative minus 9.1%, reflecting mainly the impact of the evolution of the currencies in Latin America. And finally, our total revenue for the H1 2025 was EUR 1.451 billion, growing 6.4% like-for-like compared to H1 2024, which was at EUR 1.395 billion. This includes a positive scope growth of 3.3%, offset by a negative FX impact of minus 5.7%. Moving now to the next slide and to the review of our operating revenue by geographic area. In Latin America first, we delivered EUR 393 million of operating revenue, thanks to a strong like-for-like growth of 15.1% in H1 2025, reflecting the strong dynamism of this market. This organic growth was offset by a negative translation FX effect, mainly driven by the depreciation of BRL versus euro year-on-year. In Brazil, operating revenue grew 16.3% like-for-like on the first semester. We saw a strong growth in Benefits & Engagement, both in Meal & Food vouchers and in our Beyond Food solutions. In parallel, Mobility also grew double digit in the semester, thanks to the strong activity of our Fuel card solutions, boosted by the fast development of our Beyond Fuel solutions in maintenance, toll and freight payment. In Hispanic Latin America, operating revenue grew 12.8% like-for-like in H1 2025, reflecting strong performance of Mexico, both in Benefits & Engagement and in Mobility. Complementary Solutions like-for-like performance is negatively impacted by the reduction of our share in a public social program in Chile. And finally, Latin America as a whole represents 29% of our group operating revenue in H1 2025. Let's turn now to Europe on the following slide. We delivered there EUR 811 million of operating revenue in the first 6 months period of '25. Reported growth on the first half was 4.9% on the back of a like-for-like growth of 1.7%, combined to a positive scope effect due to IP fuel cards and EV charging activities acquired, respectively, in Italy and Denmark in '24. In addition, in Q2, we saw an acceleration of the like-for-like growth in Europe up to 2.2%. In the Rest of Europe, H1 2025 operating revenue was at EUR 634 million, growing 6.3% year-on-year. This resulted from the combination of a like-for-like growth of 2.2%, boosted by the Mobility acquisitions of Spirii in Denmark and of the IP Energy card portfolio in Italy. In Benefits & Engagement, we saw a solid acceleration of the like-for-like growth in Q2, notably in Southern Europe and in Germany, Mobility delivered high-single-digit growth in the semester with an increase in liters volume in Q2 and a solid momentum on toll solutions. Finally, Complementary Solutions were negatively impacted by the planned wind down of the Banking-as-a-Service solutions for B2C. That remains included in our like-for-like computation and by the postponement of a public social program in Romania. In France, the group delivered EUR 177 million of operating revenues, stable year-on-year. While we see good commercial development on our Meal & Food solution, average volume of vouchers issued is slightly decreasing in some activity sectors on the back of headcount reductions. Moreover, the increased cyclicality of the work council platform licensing activity has a negative impact year-on-year as work council major 3-year renewals occurred in '23 and '24. Meanwhile, Mobility delivered strong high double-digit like-for-like growth in the quarter, thanks to the strong performance of both our historical portfolio as well as the extended access to the super new network. Now moving to Other revenues. Other revenues were EUR 112 million for the first half year, declining slightly minus 0.6% like-for-like year-on-year. This flat variance is due to the combination of an increase of the average float in the semester, offset by an overall negative interest rate impact as a consequence of higher interest rates in Latin America, but lower rates in the Eurozone. The FX effect was a negative minus 9.1%, reflecting mainly the impact of the evolution of the currencies in Latin America. All in all, the H1 Other revenue performance gives us confidence to reiterate the EUR 210 million floor for full year 2025 Other revenue. Moving to EBITDA now. Operating EBITDA grew 18.6% like-for-like, up to 40.6% margin rate for the first semester. Operating expenses have remained almost stable year-on-year, while we grew significantly our operating revenue. This improvement of 400 basis points like-for-like year-on-year reflects the operating leverage capability of the Edenred model accelerated by the first effects of the management actions initiated since the end of last year. These actions embed our group efficiency program named Fit for Growth, together with our performance improvement plans, targeting some businesses delivering lower-than-average performance that Bertrand described earlier today. EBITDA as reported growth was 9.6% in H1 2025, boosted by a strong like-for-like growth of 14.4%, partly offset by a negative foreign exchange effect of around EUR 40 million. Below EBITDA, expenses increased in line with the activity of the group and should continue to do so in H2. Other income and expenses were EUR 15 million for the first half and are mainly composed of restructuring costs, mostly cashed out in the first half as a consequence of our efficiency programs. We expect these restructuring costs to be a bit heavier in the second part of the year. Our net financial cost was at EUR 112 million, growing in line with the average increase of our gross debt, but well maintained as we were successful in decreasing our average debt cost by 12 basis points year-on-year down to 3.2%. We expect our net financial cost to remain at a comparable level in the second half year. Our tax expense amounts to EUR 140 million in the first semester, reflecting a higher amount of withholding tax mainly in Turkey and the one-off effect of a tax reassessment in Europe. Out of these nonrecurring events, our tax rate would have been in line with 2024 rate. As a result, net profit group share was at EUR 235 million in H1 2025, growing 0.3% year-on-year. Our adjusted EPS restated from purchase price allocation, depreciation and nonrecurring costs is at EUR 1.16 for the first half, growing 7.4% year-on-year, reflecting the combination of improved performance and share buyback programs. In H1 2025, the group generated a negative free cash flow of EUR 118 million, consistent with the usual seasonality pattern of an H1 structurally negative over the years and a very strong H2, bringing the full year to a cash conversion rate of at least 70%. Starting with the FFO, which is our first component of free cash flow generation, we reached a record amount for our first half with EUR 468 million. This corresponds to a 17% increase year-on-year, resulting mainly from the strong growth of our EBITDA. This was offset by working capital variances. First, 2 large public client payment deferrals from H1 to H2 in Latin America, one of them in Mexico and the other one in Brazil. Both of them are long-standing relationships. And as we speak, partial payment has been recorded in July for the Brazilian one. And finally, the recent acquisition of IP Plus also negatively impacts group total working capital profile by approximately EUR 40 million end of H1. This negative impact will progressively resume as the integration progresses and Edenred processes are implemented. Finally, we continue to invest in our advanced technology platform to expand our capabilities and seize additional market opportunities, as Bertrand showed you with the example of Edenred City in Germany. As a consequence, CapEx focus remains intact with EUR 94 million invested in the first semester versus EUR 97 million in H1 2024. This represents 6.5% of our total revenue, and we expect to be in line with our capital allocation policy of 7% to 8% of our total revenue for full year 2025. All in all, with the usual strong free cash flow generation in H2, the group is on track to deliver its 70% cash conversion rate for the full year 2025. Moving to the net debt now. As of June 30, 2025, Edenred's net debt stands at EUR 2.351 billion. If we bridge our net debt evolution year-on-year, we started end of June '24 with a net debt of EUR 1.880 billion. Over the last 12 months, Edenred spent EUR 401 million in M&A, mainly for the acquisition of RB in Brazil and IP Plus fuel card portfolio in Italy. Total shareholder return was EUR 568 million, including EUR 289 million of dividends paid in May 2025 and share buybacks for EUR 241 million. And finally, the foreign exchange impact on net debt on the balance sheet was a negative of EUR 169 million. And with this, I will hand you back to Bertrand for the outlook review.
Bertrand Dumazy: Thank you, Virginie. So if we move to Page 24, yes, Edenred will deliver further top line growth in 2025 with higher operating profitability. Why? For 4 reasons. First of all, we are a multi-local footprint and diversified business mix that brings highly recurring revenue, whatever the economic uncertainties. Second reason, Benefits & Engagement and Mobility are providing powerful growth opportunities on underpenetrating market. As a reminder, we grew at double digit everywhere but in Europe. We grew at double digit in Mobility, and we have the beginning of encouraging signs in Europe and in Benefits & Engagement. The third reason is we have an acceleration of Beyond Food and Beyond Fuel solutions that are strengthening our offer and that are providing strong, highly profitable cross-selling potential. Finally, in addition to the structural operating leverage leading to operating EBITDA growth, we put in place some management actions to deliver on both our efficiency plan that is called Fit for Growth, but also our performance improvement plans, as you may remember, on certain activities where we need to have those activities to go back to what we like in terms of performance at Edenred. So based on that, we are pleased to confirm all our objectives for 2025. The first one being a like-for-like growth of at least 10% in EBITDA, which is an equivalent to a minimum EUR 1.340 billion based on FX rates as of June 30, 2025, and the second one, the free cash flow and EBITDA conversion rate of at least 70%. Thank you for your attention to this presentation. And Virginie and myself are now all yours to answer any questions you may have.
Operator: [Operator Instructions] We will take our first question from Julien Richer from Kepler.
Julien Richer: Two things, so the first one on France. If you could give us a little bit more visibility or granularity on what you experienced in Q2 in terms of food and meal activity in terms of growth and beyond food activity also because given your double-digit Fleet & Mobility growth, I assume that this activity is down pretty materially. So I would be happy to have more granularity there. And then how do you see H2 in Europe? You are mentioning positive trend Q2 versus Q1 with a slight improvement. Do you think it will continue this way in H2? And how do you think it will evolve for the Meal & Food activity and Beyond Food activity? And second question on Brazil, if you could give us an update on what is discussed with government in terms of regulation today.
Bertrand Dumazy: Okay. So maybe on this one, I will take the 3 questions, Virginie. So first of all, as to France, yes, you are right. First of all, the food and meal is okay, and it's okay, but it's not fantastic. Why? Because, in fact, when we look at the growth equation of Edenred, in terms of retention, in fact, we have very, very low level of attrition. So in terms of keeping our clients, we are all good. In terms of new sales, it's still growing, but in fact, it's less growth than last year, and we see a lot of uncertainties in the ability to sign from our SME and middle market. Having said that, it's still a good growth. In fact, the negative part of the growth equation is the size of the portfolio. We see, in fact, some layoffs in all the companies that we follow. It's across the board with certain sectors that are more impacted than some other ones. So for example, we are very strong in temp agency because we have the most versatile digital offer. And we see, in fact, this sector going down by 7%. Retail is not good. The ESN, so all the consulting firms in technologies, we are a very strong leader on that once again because we have the most sophisticated offer to propose. And in fact, on this portfolio, we see that those people are employing less people. So to make a long story short, yes, double-digit growth on Fleet & Mobility, an okay, let's say, performance on Meal & Food, mainly driven by our portfolio of clients that are employing less people. And in fact, where the performance is negative, it's in one of the products we have in Beyond, which is, in fact, our software solution for the workers council. And here, we have a structural change in the market. You may remember, there was a reform in France that changed, in fact, the way the workers council were elected. And in fact, it has reset completely the market on, let's say, 4-year cycle, i.e., 2019 was the year of the renewal. 2023 was the year of the renewal. And in fact, because the law has changed, all the workers councils have changed at the same time. So before, we used to have the same number of clients who are looking for an upgrade or a new software solution every year, 1/3 of the installed base or, let's say, the addressable market. Due to this reform, the market has changed, and we have a peak every 4 years for 2 years. So 2023 and 2024 were fantastic years of growth on the software in France. But then the next 2 years, in fact, are in negative growth as compared to the previous 2 years. So we know that we understood that we are now in this cycle. So we know that 2025 will not be good on software for workers' council in 2025. And the next big peak probably will be in '27 and 2028. So that's for France. As to Europe, in fact, it's -- frankly, it's difficult to say because there are a lot of economic uncertainties in Europe. Having said that, we are on resilient activities. That's the first thing. And the second thing is Europe is not a single continent. You have different dynamic. First of all, the southern part of Europe is doing well. Spain, Portugal, Italy, Greece, and I could say, Turkey as well. This is where things are growing very fast. Then we have the northern part of Europe, which is in a pace that is a okay pace. It's not a fantastic pace, but it's a okay pace. And then we have, in fact, France and Germany. In Germany, because it's a market to be penetrated, we are growing at double digit. Having said that, when you look at Mobility, even if we see some recovery in Q2, it's too early to say. But in Germany, thanks to the Bazooka plan that the German government wants to put in place, probably it's going to have a positive impact, but too early to say, but we have some first signs. As to France, we know that, in fact, workers council, the year is not going to be a good year, and it's going to be true in H2 as in H1. As to the Meal & Food, I don't expect a huge improvement. So it's going to be an okay rhythm. And finally, in Fleet & Mobility, we should continue to grow at plus 10 -- 10 plus. So to make a long story short, there are some uncertainties, some things that we can count on. Too early to say, but we could see the beginning of a stronger growth in Europe. As to Brazil, yes, there are some conversation as to a reform of the market or not. As compared to the last time we talked, nothing more to add. First of all, we have a government that is very attached to the PAT. Remember that it's 20 million workers that have access to proper food every day, thanks to the program. The second thing is it's still an underpenetrated market. When we look at it, the full potential should be 40 million workers and not 20 million. The conversation are on different parameters. So -- and you have many, many, let's say, players on the market. So there is some conversation. We are part of the conversation via the professional association of the issuers, many parameters and the conversation continues. Once again, the goal of the government is to protect the system that is so precious for 20 million workers today. And in fact, that could be even more precious for the additional 20 million workers that are not part of the program yet. Yes.
Julien Richer: So any idea of the agenda from the Brazilian government?
Bertrand Dumazy: No. Any idea? First of all, the government is on vacation. As you know, it's the southern part of the world. So their winter break is now. And there is no agenda. There is a conversation, but no agenda yet.
Operator: We will take our next question from Estelle Weingrod from JPMorgan.
Estelle Weingrod: The first one, just on what you're seeing on the workers council, just to understand better. So in H2 should be around the same as H1. Next year, though, in 2026, should the impact be flattish year-on-year? Or should it be another down year? And also, could you quantify the impact this had on France operating organic growth in H1? I also had a question on CSI, the CSI. So did the performance improve in Q2 versus Q1? And how is the improvement plan progressing? And when should we expect this division to return to positive growth territory? And would also be interesting to have an idea of where margins have come down to since you bought it. If I recall correctly, this was on margins above group average at the time.
Bertrand Dumazy: Estelle, thank you for your 2 questions. So first of all, as I said, and it's a very French, let's say, centric thing, the workers council, it's only in France that it happens like that. So once again, -- in 2019, all the workers' councils have been renewed at the same time. So it was a rebasing of the market. And the workers council are renewed every 4 years. And 1 year, the year of the election, the year after the election or the year before the election and the year of the election are now peak years due to the fact that if you want to be elected, you want to improve the service you propose to your employees and to -- it's a political campaign, and it's very good for our business. So we know that the next peak is going to be in '27, '28 or so we know that. In H2 2025, there will be no improvement on this activity because now you understand the cycle. What's going to be the impact in 2026? The impact is going to be much less because, in fact, you take the hit after the peak in the year 1 after the peak. And after that, you are on, let's say, more reasonable comparison basis. Plus our job is now to work differently, maybe to price differently, maybe to come with more and more, let's say, SaaS solution to bring on the platform because the market has changed. It has changed in, let's say, in the year-on-year comparison, but we are #1 on this market, and there's still a lot to do. So still some markets to go after, still a lot of things to bring to the market, but the sales cycles are now slightly different. And now we understand. We understand how it works and count on us to bring a new solution on this market that we like very much, and we are #1 in France, by the way. As to CSI, the performance in Q2 was, let's say, the same as in Q1. So we are not growing on CSI in H1 2025. As you know, we have a performance improvement plan in place. We renewed completely the management team. The last renewal was the arrival of a new sales director who started, in fact, a few weeks ago. So now under the leadership of Alex, we have a new management team with some new ambitions. So now will come the time of the rebound. We have strong assets. Once again, we are a niche player. Our niche is on certain industrial verticals and our niche is in what we call the silent [ choose ] payment. So from invoice to payment, we have a totally digital integrated solution. So we have good assets on certain verticals, we are leaders. It's now the job of the management team for the [ remontada ]. As to the margin, I'm sure you'll remember, when we made the acquisition, there was one question saying, do you think that this market will keep very high and above Edenred EBITDA margin? And I said, no. I expect, in fact, this market to consolidate a little bit to be more competitive. And so the EBITDA margin will go down. And I said it could go down by, if I remember, I said something like 10%. And so it is what has happened. So we still have very good margin on that, but not as good as what we had at the beginning of the adventure because we have a normalization of the market as expected.
Estelle Weingrod: Okay. That's very clear. Just maybe just a very quick one on net financial expenses, it was up in H1 as expected. Can you help us modeling this for the full year in the absence of new M&A?
Bertrand Dumazy: Okay. So maybe Virginie. Virginie -- so Estelle, can you ask your question again? Financial expenses...
Estelle Weingrod: Net financial expenses, it was EUR 113 million in H1. And could you just help us modeling this for the full year in the absence of new M&A?
Virginie J. H. Duperat-Vergne: So in financial expenses with the same perimeter, as I said earlier, it's really the impact of the cost of debt. So you should model that H1 is a very good proxy for the total year. And again, price can come from foreign exchange one way or the other. But in the absence of big, big movements, we think it's a very good proxy.
Operator: Our next question is coming from Ed Young from Morgan Stanley.
Edward Young: My first question is on the Fit for Growth plan and the cost actions you've taken. You've held operating costs flat in H1, and you've grown operating revenue by about 5%. Is that about the right shape we should expect in terms of a gap between growth and costs in H2? Or can you give any broader commentary about where that plan sits and what's still to come? And then my second question was, could you just give an update on Italy in terms of the renegotiations you've had with clients there? Just to update us on when you first gave that guidance. Is your guidance still exactly the same as it was? Have those negotiations gone the same as you expected? Or are there any other sort of changes there that we should be aware of?
Bertrand Dumazy: Okay. Ed, thank you for your questions. So if we start with the management actions on efficiency and improvement plans. What you should expect, first of all, please remember that in 2024, we invested a lot in our OpEx, but the pattern was different from H1 to H2. So in H1, 2024, our OpEx has been growing by 15%. And in H2, it has been growing by 7%. So it means that the basis of comparison in H1 2025 was super strong. That's why you see, in fact, an OpEx that is flat versus H1 2025. H2, probably you will see the OpEx growing because once again, in H2 2024, the growth was only 7%. So here, it's a question of timing when you look at the growth of OpEx. Having said that, as I explained to you, we invested a lot, and we run a lot after the growth. So there are a few things that are needed now to make sure that we stay fit and efficient. That's why we have this Fit for Growth program. We have 6 streams that we are working on, and it's going to happen year after year, probably for the next 2 to 3 years. So to make a long story short, Edenred at the end of the program will be more fit, will be more agile, will be more aligned. We benefit more from the convergences of our different technological streams. And so thanks to that, you will see a growth of OpEx that will be below the growth of our operating revenue. And you're going to see us operating like that for the years to come. Having said that, we are growth companies. And so we are absolutely determined to continue to invest into our sales force to continue to invest into our digital capabilities to fuel the future growth of Edenred. To make long story short, expect an H2 where you don't see flat OpEx, but you see growing OpEx due to the basis of comparison. But at the end of the day, yes, Edenred is a growth company, but also is going to become a more efficient company to benefit more from the leverage of the platform. As to Italy, we are exactly where we said we would be. In fact, I had a meeting with the Head of Italy yesterday. So remember, we had thousands of contracts to renegotiate one by one between January 1 and, let's say, the end of July. So in terms of renegotiation, number of contracts representing a number of customers and representing a percentage of the business volume, we are exactly where we thought we would be with our plan. And so the financial consequences of that is exactly what we said. We still have 1 week to go. The last week is a very dense week. And maybe there is one last week at the end of August, in between there is summer vacation. But 2 weeks to go, let's say. And as of today, we can confirm that the impact for 2025 is going to be EUR 60 million, and you will see the impact, in fact, mainly in Q4 because things are happening, in fact, September 1, so 1 month in Q3 and 3 months in Q4.
Operator: We will take our next question from Justin Forsythe from UBS.
Justin Thomas Forsythe: So just wanted to ask first one question on the guidance and just make sure I'm absolutely clear on the dynamics there and then another on longer-term strategy. So relating to the guidance, maybe you could just talk a little bit about -- I know you naturally always guide conservatively and more or less reiterate your 1H EBITDA guidance. Just want to understand what you're trying to imply with the 2H. Are you leaving a lot of headroom? Or is there a material offset tied to Italy? I think it seems to imply 2H EBITDA, and correct me if I'm wrong here on the math, is about flattish. So how do we get to the right number? And maybe it just means that there's a degree of conservatism baked in as per usual, but it did seem like incremental margins in 1H were quite high due to the cost saves. So perhaps, again, that's the degree of conservatism flowing through. The second question I wanted to ask was around technology advantage. So it seems like Swiles and other competitors are growing quite rapidly. In Benefits, you guys do a lot. You have a ton of individual programs, including Reward Gateway. Have you ever thought about doing something like HR software? And maybe this is something you do and you're not quite as vocal about it, but HR software similar to like a Rippling or a Deel, whether organically or inorganically, that would enable you to touch and own a much broader swath of the benefit stack of the employers that you serve?
Bertrand Dumazy: Justin, thank you for your question. So first of all, as to the guidance, a few numbers. So we grew the EBITDA like-for-like by 14.4%. Our guidance is minimum 10%. So if you look at it, it means that for H2, we need to do 6% EBITDA like-for-like growth. But you need to remember that Italy will hit us, in fact, in Q4 and the cost of Italy is about 9% of growth in H2. So if we do 6%, it's an equivalent of 15% growth, excluding Italy, for the H2. So what you see is, we did 14.4% in H1 and to be able to do 6% including Italy, we need to do 15% for the rest of the business. So that's why we are -- and it's what we did in H1 with some encouraging signs. So that's why we are confident to confirm all our objectives for the year. Is there a degree of conservatism behind that? Too early to say because, once again, we are living in a very uncertain world. There is war, there is tariffs. Even if we are on a very resilient business and even if we are everywhere around the world, and we see Latin America, Asia and rest of the world doing well, we still have 60% in Europe. So we -- in our guidance, we take into account the fact that we are in a very uncertain world. So from an arithmetic point of view, we are very much in line with more than 10% EBITDA like-for-like. And then as I said, we need to be careful in the uncertain world we are living in. Then you had a second question, which is what do we do? In fact, we will be very pleased to share that with you during our Capital Market Day on November 4. But in fact, yes, our willingness is to continue to monetize more our users, our clients and our merchants. And to be able to do that, we need to propose more and more solutions and more and more solutions in every business line. Does it mean an HR software? I'm not sure. There are many other ways to do that. At the end of the day, what we want is every user around the world, and we have 60 million of them, they have the Edenred app. On the Edenred app, they have many different solutions. And what you will see is an increasing number of solutions, increasing number of solutions developed and operated by Edenred, but you will also see more and more digital services developed and operated by some external players, but distributed by Edenred. By the way, if you look at the strategic partnerships we have today, we are working with more than 200 different platforms. So you will see this trend growing. And you know we did it in toll. And the example of Taiwan is another example of having our services distributed by some other platforms. So maybe HR software is too vast and too large. We don't intend to compete with Workday, for example. But what we intend to do is to make sure that we monetize the audience we have and the audience we have is very large, 60 million users, 2 million merchants, 1 million corporate clients. And by the way, maybe you saw the evolution of the Edenred Board and you saw that we have now on the Board, the Head of Europe for Google. And we had very interesting conversation yesterday, and she was super excited about the potential of monetization of this audience. So HR software is probably, let's say, too large, additional digital services to answer the equation, attraction, retention and engagement for the HR heads is the way to go.
Justin Thomas Forsythe: Got it. And one quick follow-up, if you don't mind. With Brazil, there was a proposed impact on the MDR, I think, at a cap of 3.6%. Did you give any potential impact if that were to go through? And it sounds like it's not fully slam dunk finalized yet, but any thoughts on potential impact there would be helpful.
Bertrand Dumazy: No, we didn't share any impact because, first of all, it's a rumor. And the second thing is you have many other parameters, for example, the level of discount. So the 3.6% is a rumor. And second thing, there are many other parameters.
Operator: We will take our next question from Hannes Leitner from Jefferies.
Hannes Leitner: Getting a couple of questions in. Maybe we can focus a little bit about the growth to -- Fit for Growth initiative and the cost control. If you drill down a little bit in your EBITDA like-for-like growth and the margin development by region, is it true that most of your initiatives are outside France and outside Europe, given the performance of the like-for-like growth in France has been more sluggish. And maybe you can explain in the same course the central costs given that you had a EUR 16 million tailwind instead of the usual cost component in central costs on the EBITDA basis. So that's the first question. Maybe we can discuss that first.
Bertrand Dumazy: Okay. So as to the second part of your first question, it's time for Virginie.
Virginie J. H. Duperat-Vergne: Thank you so much. Hannes, in terms of central cost, yes, we see a kind of profit of EUR 23 million, which is coming from the corporate part of Edenred. And this is the progressive centralization of all our technology platforms. As we indicated earlier, we developed platforms that are used everywhere in the world. So we developed it once for all. And then if you have a look, you might have seen also that, for example, France has a little bit lower profitability because also it's paying for this type of cost on the large part based on what they represent. So more or less, it's a little bit of left pocket right pocket. But all in all, there is no massive change.
Bertrand Dumazy: Okay. As to Fit for Growth, no, in fact, Fit for Growth is, in fact, a global program and efficiency is to be found everywhere. And once again, we are a global platform, so when we are talking about efficiencies in terms of technology and convergences, it's for every country, including France and including Europe.
Hannes Leitner: And maybe just a follow-up here. Maybe you can give an update on BaaS ramp down. How much headwind was that in terms of revenues in Q2? And then maybe in terms of Spirii, the development last year in second half, you reported the CapEx investment. So how is that business developing towards profitability? Or is this something you need to keep on investing. And then, maybe just in terms of phasing on the cash flow and as we speak about investments, I think you had also some tax benefits in the first half.
Bertrand Dumazy: Hannes, as we said 2 questions max. We said 2 questions max. So you have to make a choice.
Hannes Leitner: I think you can choose which one you want to answer. They all remain interesting.
Bertrand Dumazy: Okay. I agree. So Spirii, Spirii is growing at double digit. It's an important piece of the equation for us as to the development of our Mobility offer, especially in Europe. So top line is growing double digit, and we are not yet profitable because we need to continue to invest to develop commercially. We are not at scale yet, but to continue to invest in the technology. For example, we signed Audi in Germany, supercharging station of Audi in Germany. The operating system of the charging point will be the Edenred operating system. And so to adapt to the Audi demand, we need to invest. So investment will continue in Spirii to make sure that the Edenred solution is the best solution in terms of the EV revolution in Europe. By the way, now we have almost 1 million charging points in Europe in 28 different countries where you can recharge your vehicle, and it can be a light vehicle, but also heavy vehicles with an Edenred card. So it's a good complement from the traditional fuel client base to the EV charging client base. And maybe to please you, you had a second question, Virginie, and then we move to another.
Virginie J. H. Duperat-Vergne: I think you referred to Banking-as-a-Service, Hannes. Banking-as-a-Service is part of complementary solutions, which is decreasing like-for-like 7.6%. In fact, if you would assume that we could take out of the like-for-like, the wind downs and BaaS as a Services, Banking-as-a-Service, definitely one of those, then the decrease would have been only 2.6%, something like this. And in fact, the remaining part of the decrease is rather the public social program, the one in Romania, which is deferred to H2 and probably -- and the [indiscernible] in Chile, where we had an exceptional complement last year, taking the entire part of it.
Operator: We will take our next question from Mourad Lahmidi from BNP PE.
Mourad Lahmidi: So I have 2 questions. The first one is on the French reform. So my understanding is that there will be 2 window for debating the reforms on the government side and one in the fall and one in next spring. What is your gut feeling of when this will be debated? Is it rather short term or pushed to 2026? And the second question is about Complementary Solutions. So you had a lot of headwinds since the start of the year. Based on your understanding of the phasing of the different programs and the exit of the BaaS, should you expect this business line to return to positive territory in H2? Or is it more a 2026?
Bertrand Dumazy: Okay. Thank you, Mourad. As to the French reform, the only thing I know is the government is pushing hard for the reform to be voted in full. Having said that, they do not master entirely the agenda of the parliament. So I know the willingness of the government is to go for full, then politics are far beyond my ability to forecast. The second thing I know is they want the reform to be voted as fast as possible. Why? Because it's a good reform for the users. It's about modernization, simplification and because they understand that us, we need something stable to accelerate the investment in France because once again, the France is an underpenetrated market. When you think about it, this market within the next 10 years should double. So there is a political will to go fast. As to the complementary solution, I know that in 2026, we will move to positive territory. As to H2, it's going to -- what I know is that BaaS, the total exit of BaaS will continue until the end of the year. So it's the vast majority of the impact. The other thing is, are we going to have this public social program in Romania in H2? Nothing has been decided yet. So it's too early to say if in H2, we will see, in fact, a move to positive territory. I'm much more confident for 2026.
Operator: We will take our next question from Pravin Gondhale from Barclays.
Pravin Gondhale: Firstly, on the free cash flow or working capital movements related to BaaS program exit. Can you just help us quantify what sort of impact we can expect in second half as you are scaling down the BaaS business? And then secondly, a follow-up to Hannah's question on other EBITDA. Can you just clarify if it's more about the reallocation of costs from central to the headquarters given the centralized platform development? So this is purely an accounting adjustment or anything else that I might have missed there?
Bertrand Dumazy: Okay. So first of all, Banking-as-a-Service, as we say, for the B2C part, we stopped. We continue in the B2B. So you will see the impact for the entire year because, in fact, we took the decision at the end of last year. So the basis of comparison is not going to be good for the entire year 2025. The second thing is BaaS doesn't have any impact on our free cash flow. So you see the float on one side, but then reserved on the other side. And so at the end of the day, BaaS has always been, is and will be, in fact, neutral on our free cash flow. So then you had a second question about the other EBITDA. I'm not sure I understand, in fact, this question, Virginie.
Virginie J. H. Duperat-Vergne: Pravin, this is Virginie. I think you do refer also to the same question we had earlier on the split of the EBITDA by country, and we have a column which is other, which is, in fact, mainly the corporate. Is this it?
Pravin Gondhale: Yes, yes. It's the same one, yes.
Virginie J. H. Duperat-Vergne: Yes. And it is exactly the same thing. It's just left pocket right pocket at the end of the day between the business unit and the central. And yes, as we said, we are invoicing much more from the central part. And guess what, we decided at the beginning of the year what is going to do the reinvoicing and the BU are going to complain. But as we are also more efficient, then we release a little bit more margin that we'll probably have to reallocate to the regions by the end of the year.
Operator: We will take our next question from Josh Levin from Autonomous.
Josh Levin: The 2 public clients in Latin America who delayed their payments, can you explain what the reason was for the delay? And just I also have a clarification question on the Other EBITDA line. Just to be clear, in the Other -- this Other segment, are you generating revenue or it's purely -- you're generating revenue with external clients? Or it's purely sort of an internal accounting issue?
Bertrand Dumazy: Okay. So Josh, the second question, Virginie.
Virginie J. H. Duperat-Vergne: Yes. Thank you so much, Josh. Yes, you're absolutely right. This column is only internal.
Bertrand Dumazy: As to your first question for Latin America, it's 2 large public clients with whom we have been working for the last, let's say, few years. And basically, one of the client started to pay what was due on June 30. They started to pay a few days after June. And the other client, it will come because, in fact, it's a major public service in Mexico. So to make a long story short, there is no real reasons why they didn't pay on time. It's only a delay of a few days. And because it's only a semester for us, and due to the long-term relationships we have with them and the total solidity of what they represent and their institutions in both countries, we don't have the beginning of doubt that we will be paid.
Operator: It appears there are no further questions. So I will hand you back to Bertrand Dumazy for any additional or closing remarks. Please go ahead, sir.
Bertrand Dumazy: Okay. Thank you very much for your attention. And as a conclusion, I will say 5 things. First of all, yes, we have good traction in terms of top line growth, even if economy is not as supportive as before, but it is the proof of the resiliency of our business. Partly second message, partly thanks to efficient and agile management actions, we plan to deliver minimum 10% like-for-like EBITDA growth despite the EUR 60 million impact of change in regulation. It is a yearly 10% that is worth, in fact, 15%, excluding Italy. Yes, we have lower operating expenses growth, but it will not come at the expense of Edenred future. We continue to invest to fuel the growth, and you can see it in our CapEx, which represent in H1 6.5% of our total revenue. And yes, we will remain highly cash generative as we confirm our target of 70% free cash flow conversion. Thank you again, and I wish you a very good day and a good vacation for the ones who will be able to take some in the coming weeks. Bye-bye.
Operator: Thank you for joining today's call. You may now disconnect.